Operator: Good morning, ladies and gentlemen. Welcome to BRF's Q1 2021 Earnings Video Conference. We'd like to inform everyone that this conference is being webcast at www.brs/br.com/ri, where the presentation is also available. At this moment, all participants are connected in listen-only mode. Following the speech, we will have a Q&A session when instructions to participate will be provided. We ask that each participant ask only one question. [Operator Instructions] The statements made during this conference about the company's perspective businesses, projections and potential growth are merely forecasts are highly dependent on market trends and the general economic performance of the country, the industry and international markets, and are therefore subject to change. Please note that this conference is being recorded. This video conference will be presented by a BRF Global CEO, Mr. Lorival Luz; the Vice President of the company are also present. We will now turn the floor over to Mr. Lorival Luz, who will start the conference. Mr. Lorival Luz, you may proceed.
Lorival Luz: Good morning, everyone. Thank you. Thank you for once again being here with us in our earnings video conference. I'm at the office. But because I'm in an environment with adequate distancing, I will take off my mask so that everyone can hear me with more clarity. I'd like to start by talking about our results and the competitive advantage of the BRF. I think it's important for us to think about Q1 2021, when, despite the absolutely challenging environment, an environment, where we still have COVID and we're still dealing with a number of restrictions, particularly in regards to food services, not only in Brazil, but outside of the country, we proved to be absolutely resilient. We showed strong margins with a result of BRL1.2 billion. And we were able to reverse last year's losses into a BRL22 million result. It's also very important to mention our positive cash generation of BRL700 million, despite once again this being a quarter fought with challenges in our stock management, and also with aligning our strategy since last year with regard to management and the search of excellence, and we've proved that we were able to do that with incredible excellence. Our net leverage was below three, 2.96 times despite, a BRL 5.70 and the foreign exchange. Once again, our debt maturity is extremely long, which ensures financial stability for us to continue making investments and to advance in our 2030 vision. When we look at both our gross debt and our EBITDA, we see that even this year when we had about BRL 80 billion impacting our EBITDA because of COVID, we continue to deliver a BRL 1.2 billion EBITDA, which is the same as we had for this period last year, when we were still not feeling the effects of COVID. And also not feeling the effects of the rise in commodity prices, particularly grain prices, which I will talk in more detail later on. So despite all of these challenges, we were able to adequately manage, ensuring profitability and financial balance for the group as a whole. I'd also like to stress and call your attention to everything that's going on and the effects that those challenges are having on the industry at large. We've been talking about this since last year, when we decided to manage our raw materials. And going from 2020 to 2021 with the highest level of raw materials, especially, corn and soybeans which are at the basis of our costs that ensured that we had an absolutely efficient first quarter. And that we continue to see costs below market, which will also have impacts for the second quarter of this year. But I'd also like to stress the margin are producers both pork farmers and poultry farmers have had. That's in the lowest level on record since 2014. Now why is that? The market data all of you are have access to already show that corn prices have virtually increased two-fold since last year. Also, soybean oils and soybean meals have also increased by as much as 5%. The same thing has occurred with packaging both rigid and flexible, as well as corrugated board all of which are raw material for our production. Every company has suffered with this significant increase in costs, which we can see on the increased index -- production index founded -- found by Embrapa. This isn't going up since 2019. And consumer prices haven't been matched yet. They're not -- they do not reflect the increase in these costs yet. Nevertheless, we continue to manage our production, so as to continue to maintain our margins. But this clearly shows the need to rebalance our company in financial and economic terms, so that we can reestablish the economic sustainability of our food production, both with poultry and pork products. So as I said, this scenario of increased costs has not yet being seen in our consumer prices, but that's something we're likely to see in Q2. In addition to that, we have been working a lot in what we talked about last year, advancing our high value-added products or added value went from 52% to about 74%. Now what that means is a better mix of products, a better assortment, innovation, new products being put on the market. As you can see, a significant share of our revenue in the Brazilian market comes from the new products. And this is a guideline we have at the company. We want to be increasingly more a food company that provides high value added products to our consumers, as well as a better mix in terms of profitability that we have been doing in tandem with maintaining preference among consumers. With the rate of preference, the new products and are positioning in their preference, our products with Sadia, Perdigão, Qualy and even internationally with Banvit. We've seen an increase in Preference, as you can see in this slide. Another factor, it's important for us to stress is the resilience of our portfolio. Even though per capita income is still low in Brazil, and although prospects are that it will increase in the next few months, forequarter cuts and whole chicken prices are still higher than their pork counterparts. As you can see, it goes up to eight times the price, which shows that the scenario moving forward gives us the prospect that the down trade for consumers may benefit both pork and chicken processes or products because consumers want more for the same money. So our growth prospects and sales volume prospects for Brazil are absolutely encouraging. Considering this scenario, we're describing and demonstrating with our figures, as well as the competitiveness of our products. Another important factor that has an impact, especially in the international market, but which also reflects or reverberates in Brazil, which is the African swine flu, as shown in this chart. As you can see, prices continue to reflect the challenge that we see in this industry to reestablish the same level of productivity we had back in 2020. As we said, some time ago, this is not something for this year, and not for next year, probably, it should take at least two years for us to resume that same level. So what we understand is, we will still see a bright scenario in terms of Brazil's and BRF's ability to continue exporting and to still have a booming market, especially with the Chinese demand. Another factor I think is important to talk about, and this is something you've heard over the last few weeks, are the measures taken by the SFDA in Saudi Arabia. They lifted imports from 11, cold houses in Brazil, this was some time ago BRF was not impacted. We continue to be the main exporter and our cold storage houses continue to export to Saudi Arabia. That's something worth noting. A second thing worth noting is that, Saudi Arabia notified WTO, about changing or about a change in their understanding of the shelf life of our frozen chicken products from 12 months to three months. That absolutely has an impact and could have a greater impact on our export considering the time lag between, production and outbound shipments and distribution of products. How does that product? What does that process looks like? We have been working closely with the competent agencies here in Brazil. And other countries that are also producing and exporting to Saudi Arabia will also have to look into this such as, France and Argentina. What is that conversation going to lead to? And in the next few weeks, we expect to have a position for In Saudi Arabia. We expect to establish a conversation with their government. And we expect to reach a compromise, even because, there's still a need from Saudi Arabia to import heavy chicken for these Shawarma, chicken breast and other chicken products and their local industry itself and Food Services locally also need a longer term than three months. But this is something that took place last weekend, and they have a national holiday this week. So I thought it was pertinent to explain all of this to you, or to mention it at least. Now, with regard to our capital structure, starting with our cash flow, we had a positive cash flow in Q1, which was especially because of our operational cash generation, especially in the our operations themselves, which is to say our operations generated about BRL2.4 million, which was enough for us to conclude all the CapEx we had projected. This includes concluding our sausage factory and other lines of products, which are also being expanded to meet the demand from the market. We’re also keeping our leverage below 3 times with a debt maturity that's exceedingly extended. And now I'd like to call your attention to our cash position, which is about BRL9 billion rails plus the credit facility and the very low short term maturities for 2021 which is below BRL700 million, which is to say the company is absolutely prepared and robust and with enough financial liquidity to allow us to go through Q2, despite the increase in costs with grains that we had. So our focus will remain on profitability and on a sustainable management of our operations. Also with regard to ESG, and I'd like to specifically mention facts that are already in place and initiatives that are already in place. We have already signed the first contracts within the partnership we announced in December last year. That include the sustainability issue and the production of solar panels for our outgrowers. This is something that's already underway. These panels are already being installed in our outgrowers farms. And once again, our purpose is for every one of them to be self-sufficient in their energy production. Another thing I'd like to underscore is that, also in Q1 the company announced a new program a new initiative to donate another BRL50 million just as we did last year. Our position is unfortunately the pandemic is still underway and for as long as that lasts the company will stand behind the community and will stand beside society to help them with whatever we can and whatever is necessary. I'd also like to stress that investigations both with the SEC and the US, DOJ have been concluded. All investigations involving BRF still within the realm of Trapaça and Carne Fraca operations in Brazil have been concluded, but no charges have been imposed. We face that with complete transparency. and no penalty was imposed, which shows the transparency and integrity with which we have conducted and run the company in everything that we do. In the next slide, you can see also other initiatives we have been conducting within the company. These initiatives are absolutely manageable. And they will have an impact on all directors on all their variable compensation, including myself. This will include 100% traceability of the grains we acquired until 2024 and by 2025. We will also reduce water consumption by over 13%. We will promote education and awareness-raising to reduce food waste, which is extremely important. At a time when food is scarce for a lot of people, there's also a lot of waste. And we need to work together with society to reduce that and to minimize that. We also plan to have 30% of the company's leadership positions being secured and being held by women by 2025. And also by 2025, we want to have 100% of our packages, being recyclable, reusable or biodegradable, ensuring the sustainability of all of our products. In conclusion, the company continues to advance with our 2030 vision, releasing and focusing on new products, whether they're ready meals or pork products. We've released stable shelf life products, which do not require freezing or cooling. We also launched Vide Speciale line of products. So, we continue to work in different segments and different market niches. And we continue to launch products within our Veg&Tal line with chicken strips and also all of our products. [Technical Difficulty] I apologize. I was told I had a connection problem. But I will continue to talk about our 2030 vision. We're also launching new products within our pet line, and we're also launching the new good products, which should come to the market very soon. We're also advancing in our omnichannel, advancing our delivery platform and also opening new stores with Sadia markets. So, our company's still focused on our long-term view with very important measures being taken in terms of ensuring the continuity of our vision and with delivering our 2030 vision naturally not failing to deliver on our short-term results such as we are about to see in Q2. So, again, we're launching new high value added products with an excellent management of our production costs and innovating both in Brazil and outside Brazil. On that note, I will turn the floor back to our operator so that we can start our Q&A session. But before that, all of you have the opportunity to know our Mercato em Casa, our sales online sales platform. We have a QR code that you can use to access. And with this coupon that we're handing out, you will also have 20% discount for your first purchase, which is valid until the end of 2021. That will be on the screen for all of you. And so I now turn the floor back to the operator to start our Q&A session. Thank you.
Operator: Ladies and gentlemen, we are now going to start the Q&A session. [Operator Instructions] Our first question comes from Isabella Simonato with Bank of America. You may proceed.
Isabella Simonato: Good morning, Lorival. Good morning, everyone. I have two questions to ask. The first one is related to costs, we can see that we have been talking about grains prices moving up. But not only that other inputs as well, packaging, fuel. If you could provide some more details about it and how you were addressing those cost pressures, so that we can understand how you're handling the packaging agreements, and how can we estimate the impact on costs? And also in relation to the cost line, we have been seeing that the margins have been squeezed. And if products are out of stock, what are your estimates when you look at the second half of the year, or even when you look at the period of the beginning of next year? My next question is in relation to the international market, we can see an acceleration in dollar price. Could you provide some information on how you were addressing all those price hikes? And what can we expect for the future?
Lorival Luz: Thank you, Isabella. Okay, here we go. First, let's talk about costs. When we talk about grains and packaging and how we are managing all this. Isabella, in fact the company has been and we believe we are very competitive in the way we define the strategy since last year. And this ensured us, a lot of competitiveness in the first half of the year and this is something that is going to happen in the quarters to come. But it's very important to be very transparent and make it clear to all of you that the average cost for inventories of grains or the average cost of other input and raw materials that we require and you mentioned so precisely the packagings are going to continue growing and moving up. And we have a lot of competitiveness as for outsourcing areas in -- to manage all the costs. And for the second half of the year, the costs will impact our results and they will be on the cost basis of all industries. And this is something that you can already see considering the production cost issued by Embrapa and we can see this -- the reflection of the price hike. What we can see in terms of difference when we compare Embrapa's cost and our cost shows the efficiency of how BRF has managed in this cost. And the grains, that we have is at the level of BRL100. And we have challenges presented by the future crops. And in general, the production cost as we can see in the producer margin can affect all industries, all companies. And this will lead to the need for the company to rebalance in a sustainable way all our operation. And this is something that is going to be done because we have the responsibility and the commitment to make the sustainable management of the company now that we show a grower -- and ensure profitable growth of the company. And speaking of the international markets of course, the international markets have been responding in a quicker way, as to the price adjustments, when we compare that to Brazil. But the price adjustment is made globally because the basis of the inputs would impact all producers across the world. Corn is not only more expensive here, but across the world due to international factors. So the base of the production cost has moved to a different level. And therefore, we have to rebalance and make all the price adjustments for the market and for the sales prices as we have seen in international markets. And then, I will pass the floor to Patricio. He can provide us with more details as to how this change and this variation has behaved internationally. Patricio, if you could provide us with more details.
Patrício Rohner: Good morning, Isabella. Thank you, Lorival. In line with what Lorival was saying, the grains have increased at the global level, and the markets, especially the producers, considering those who are exporters of animal proteins, Saudi Arabia, Japan, etcetera. They also import grains. So we have seen this scenario close to October last year. And then we started to include those in our price list. And then, we were defining the way, so that the local producers and distributors as well, and all the clients and the customers could prepare for such an increase, and what made it a bit stronger. And we're going to see this in a more material way in the next half of the year when we presented the next results, is that, as to the demand, the -- some markets have been feeling the effect of the vaccines and the people has -- will start going to restaurants and everything. So there is an increase in the cost. But there's also an increase in the consumption, not only at home, but also out. But at the same time, a large number of producers in most countries are small producers, so they can not have high inventories of grains for many months. So they have to be very quick in their resolves. Sometimes they wait for us. They wait for the leading companies such as BRF, where we are leaders in most markets where we operate. So they wait for us to show the way and there is -- there will be an increase in the demand in those specific markets. Thank you.
Isabella Simonato: Thank you. Thanks, Patrício.
Operator: Our next question comes from Leandro Fontanesi with Bradesco BBI. You may proceed, sir.
Leandro Fontanesi: Good morning, everyone. I have two questions. The first is related to the market share data in Brazil. You show that there has been a reduction in the latest data, quarterly data, if you could make some comments on what are the effect? And the second question is related to the leverage, which is within the target that you had established which is below 3 times and the CapEx was a little bit low, the expectations, and I understand that. I would like to understand whether that means that the growth plan will be delayed a little bit to the growth plan for 10 years or if you can accelerate this investment pace in the medium or long terms?
Lorival Luz: Good morning, Leandro. Thank you very much for raising those two points. In relation to the market share, I'm going to pass the floor to Sidney to provide you with more details. But it is always important to say that we did this. And you have been following the gradual growth of the cost basis. And as a consequence, we needed to make adjustments to the prices of our product. And this is something that was done in the beginning of the year. And every time that we do something like this, when we make a step ahead in terms of price, there is an impact on the market share, because the company increases the prices, and the market responds. And then, we have without a question, a negative impact on the market share, always at first when we make those changes. And since costs are increasing, as you can see. And we understand that this is not something that happened only in the first quarter. This is something that is likely to happen throughout the year. Cost increase with sales prices increasing, and therefore, you will have specific impact on the market share up to the moment when again this is going to level off and go back to normal conditions. So I believe that this is an impact that this happened in a macro way in a specific moment. Before moving on to Sidney, talking about leverage. We understand that there is room to make the correct management of this leverage. We are now going to be favored in the second quarter with a lower foreign currency. And even with the cash generation, the operational cash generation that we have been experiencing, we are going to continue with our growth perspectives and following with our priorities for our Vision 2030. But we always say that we have the responsibility and the financial discipline, and we also have the management focus on accelerating or reducing the speed of our actions. But up to the moment considering the results that we have been posting, we are going to follow on with our plans according to expectations considering all the results that we have disclosed. Now I'm going to pass the floor to Sidney, so that he can provide us with more details in relation to the market share, and obviously, the impact that we've had in the first quarter.
Sidney Manzaro : Thank you Lorival. Thank you. Thank you for the question. Just to add, the market share reflects 50%. The other 50% are not covered by Nielsen, which is related to specific parts of the market share. As Lorival mentioned, we are always trying to find a balance in terms of cost and we have to make the adjustments to the consumer. And considering our market position since we are absolute leaders what leads the process is to have this happen recurrently. And in the first moment the volume of sales and market share will be affected on a temporary basis due to two items. In terms of volume we need to make a correction in inventory levels. And before a price hike, companies tend to increase their inventory levels and this is something that happens. And considering that this cost is for all the companies and not only for BRF, we understand that this is something a behavior that happens. And this is a behavior that will be felt in two or three months. But our strategy in terms of profitability is very disciplined. And by means of our brand and execution quality we strike this market balance, and we never forget what has been established in our strategic plan. We grew in terms of added value. And in a very difficult moment, in tough times we have been able to protect our market share. And in a scenario like this, we have been able to follow our strategy. 
Leandro Fontanesi: Okay. Great. We had some connection problems but most of it I was able to understand. Could I ask another question? When you talk about the temporary effect of the price increases, which is normal when you implement something of the sort. I said this is more related to the retail market and the resistance that is usually felt. Is it only related to inventory adjustments or the competitors that takes some time to adjust prices? 
Lorival Luz: Leandro, I think it's a combination of both. There are two things that we have to consider. I do not see that there is a resistance in the retail market. I don't see it like this. Because I see that all those who are operating in the market understand this fact that the prices have increased. What I see is a natural behavior. When we consider larger clients they usually have higher -- they make a higher inventory before the increase. And then they have to makeup for the inventory levels that when they come down, they have to make an adjustment because there is inventory turnover, which is according to what we expected. So there's a correction of the inventory levels.  On the other hand this is something recurrent, all the movements that we have seen in Brazil, especially in the past years. So this is a something that we have felt two or three times in relation to the main competitors. This is a natural process that we have seen. Of course, that every time it happens at a higher speed, we see the associated effects. Since we are absolute leaders in all categories, we see this movement. I don't know if I quite answered your question. 
Leandro Fontanesi: Yes, you did. It was clear. Thank you.
Operator: Our next question comes from Lucas Ferreira with JPMorgan. You may proceed, sir.
Lucas Ferreira : Good morning, everyone. My first question is probably directed to Sidney. Sidney, I would like to understand this margin recomposition process. Do you think it's going to be necessary to increase prices even further? Do you have anything already planned? Anything in your mind? Does it make any sense to think about an offer restriction, so that we can see an acceleration of the prices in the domestic market? Would you like to reduce offer? If I may -- could I ask a second question, maybe this for Lorival or Patrício. Lorival you said the points of Saudi Arabia of 60 days and wait for their final decision and you do not know exactly the impact. If you could share with us the numbers how much you have imported to them? What's your volume? And what would be in an extreme case of plan B and where you would allocate all the business in considering your portfolio? Thank you. 
Lorival Luz: Thank you, Leandro. I'm going to ask Sidney to answer your question and then Patrício will also contribute. And there's something that I'd like to mention. The company understand the responsibility we have to continue producing food and provide services to the population. So the company will continue being responsible so that no food will be in need. So we are going to do this in a responsible manner. We are going to be responsible so that we can ensure the sustainability, the financial sustainability so that the company and all of us the industry can sustain the growth of the demand that will be felt for proteins both in Brazil and in the world as a whole. It's very important to say that the world population continues growing and will continue to grow. It will continue to need food. And we need to ensure the financial conditions, so that they can be appropriate, so that we can continue making investments and meeting this demand in a sustainable manner. This is what we are going to continue to do. We are going to rebalance and make all the necessary adjustments so that the premises and all the assumptions can be complied with. So I'm going to pass the floor to Sidney, if he wants to add anything in relation to your question, in relation to price increases in Brazil and then Patrício will talk about Saudi Arabia a little bit more.
Sidney Manzaro: Before the scenario of cost increase, we understand that we need to make adjustments to price. And we understand that the second half of the year will have the impact of the adjustments that we have already made, so that we can make a balance of this price equation. This is inevitable considering the cost increases that we have seen?
Patrício Rohner: Can I talk about Saudi Arabia? 
Lorival Luz: Yes, please.
Patrício Rohner: Thank you. Good morning, Lucas. Saudi Arabia can feel the impact considering all the scenarios, not only affecting the exporters Ukrainian as Lorival mentioned during his presentation. There are other countries such as Argentina and smaller countries. And it also affects the local producers, because they would kind of freeze part of their production 10%, 20% of the broilers they produce to make the adjustments of offer and demand and also to provide to food service clients that need to have safety stocks, and everything that is produced at the local level that adds value such as nuggets and hamburgers or frozen food and this dynamic is highly affected. And the main port of Saudi Arabia, and Itajaí [ph] which is about 1,000 kilometers and other cities are also more than 1,000 kilometers far. So the distribution of the produce – for products to local producers and imported products, they need to make it – to be adjusted to this new standard. So we still have not the result of the impacts. We're still analyzing the situation. We've been talking to our local partners, those local producers that produce in Saudi Arabia and also local producers that we have a conversation in relation to the industry. Everyone is waiting a little bit to understand how this is going to evolve. As Lorival mentioned we cannot grow so much. As you said, the smaller chicken have a very high impact and there is an increasing need for the consumption of protein. So we are always having this trade-off, so that we can serve the Halal countries, so that we can sell the parts and other parts in other markets that are also growing a lot. When we see the world projection in terms of consumption, we understand that broilers will be needed. And there are options but we have a commitment with some markets, where we already have a relevant brand at Dubai and in Turkey. And we have to continue developing products and investing in them and providing innovations. So this is why when we send the communication, we said that we're still analyzing the impact because it's much broader than only considering them as an exporter of countries.
Lucas Ferreira : Okay. Thank you.
Operator: Our next question comes from Mr. [indiscernible] with Morgan Stanley. You may proceed, sir.
Unidentified Analyst: Good morning. Good morning, everyone. Thank you very much for taking my question. My question is related to processed food in Brazil. I would like to know, if the drop in volume of 5% was according to your plan of last year. Or did you have any problems in relation to stock distribution? And the price differences were higher than expected. And the other question is in relation to the mixes and what's going – what is for us to expect in the future. And in terms of processed food, how do you understand the mix for this year, monitoring for example, how do you see a possible down-trade in processed food? Thank you.
Lorival Luz: Thank you, Victor. I'm going to ask Sidney to answer your question, so that he can provide the details about the impact in relation to processed food. But I would like to remind you that, our strategies which we have shown in the presentation, is to improve ever more and make adaptations to the mix providing more-and-more products with added value products as we have been doing in the quarters past.
Sidney Manzaro: Good morning. Thanks for the question. We have a very diverse portfolio that can meet the needs of different markets, and different consumers. And we make adaptations considering the seasonal aspects. In the first quarter, we had impact and two factors are -- have to be considered. First is, the prices of the competitors. We had an impact in relation to market share which was affected. And second we had to make some adjustments, to the retail market to the level of inventories considering the situation. So I do not see a down-trade characterized in this process. So we can see that there's some effort growing demand for added value products. And this was a quick process. We understand that, of course that there is an initial impact, but adaptations will be made considering all the efforts that we have been made. I do not see a down trade movement. I see that the volumes have been increasing in terms of pre-COVID period.
Unidentified Analyst: Thank you, Sidney.
Lorival Luz: Next?
Operator: Thank you. Our next question comes from Mr. Victor with Credit Suisse. You may proceed, sir.
Victor Saragiotto: Good morning everyone. I believe that one of the points that we saw in the results was the margin dynamics. You explained, Japan with the higher stock level. These would take one year or 1.5 years. So it's a long-term. Would you see the impact as a long-term impact? M&A is the second point. There has been some discussion in relation to M&A and everything. So we would like to know whether or not you have a time line in your mind. So these would be my two questions. Thank you.
Lorival Luz: Thank you, Victor. I'm going to answer the second question first. And then, I will pass the floor to Patrício, so that he can talk about Asia. In relation to M&A, everything follows according to 2030 plan. The company has priorities which have already been defined as we have mentioned and we continue with the discipline -- the financial discipline evaluating all the opportunities. Up to the moment, there is no change in relation to what we had planned before in all the programming that we have disclosed on BRF Day. I'm going to pass the floor to Patricio to talk about Asia dynamics and the impact on Japan. 
Patrício Rohner: Perfect. Thank you Lorival. Thank you, Victor. Speaking of Asia in general terms; first, China is the main market or Asia as a whole, the region has a lot of demand. We have a demand of nearly 40% higher than we can provide in terms of products that we have as to availability and volume. As to prices, when you think about timing specifically, the prices that we had reached in the market last year in the harvest times of swine flu, they went down a little bit because of the exports from the United States and all the expectations to have a recovery in the local production everything else. But the prices are still very high and income and the volumes are very high as well. When we consider the past months, we can see changes because costs increases and if we consider the information of February and March, we can see that there's a variation every month in an upward trend. And this was caused also to the United -- the next states we want to import less because of domestic consumptions and all the vaccine effects and life going back to normal and rumors of a second wave of swine flu, where the production is not as expected. And economy is growing as you can see. As we can see in general numbers, China continues producing and exporting. So China is a market that we estimated that would have a normality in terms of prices, in the future. When we see other markets such as Korea, still talking about positive aspects, the stocks were very high. But the reduction of imports and the impact on Asian flu internally have made prices to be affected. When we think about Japan, we see a different case. Japan was promoting to the local consumers. They were encouraging people to go to restaurants and everything else. But because of an increase of prices and also the Olympic Games they were a step behind. But we have seen some recovery in prices during a part of the quarter and also in the next month. So, we believe that this is something that is going to happen in 1 year or 1.5 years. So we are going to have a transition and also -- will happen also as part of the third quarter. I don't know if it was clear but, thank you. 
Victor Saragiotto: Yes it was clear. 
Operator: Our next question comes from Andre Hachem with Itaú. You may proceed, sir.
Andre Hachem: Thank you. I'm going to ask just one question. I would like to understand a little bit more on how you see the investments for the end of the year. You said you had -- you can make four major investments for the year that would accelerate quite a lot for the rest of the year. How do you see this? Are you going to revisit these numbers are going to lower those numbers considering the more challenging scenario for the second half of the year?
Lorival Luz: Good morning. As I said I'm going to turn the floor to Carlos. He will provide more details about the CapEx for the year. And up to the moment, we follow our planning with the initiatives that we have shared, but we always have the capacity to manage the speed and to accelerate any investments. But we continue with all the regular discipline in relation to the planning that we have in terms of capacity increase and all the initiatives up to 2030. I will turn the floor to Carlos. 
Unidentified Company Representative: Thank you, Lorival. Good morning. The company has the principle of maintaining its financial discipline, which is represented by the maximum level of leverage which is 3 times the EBITDA. We're going to continue with this principle adapting our CapEx and our initiatives so that we can observe this limit which is a commitment that we have made. So this is the materialization of a financial discipline. 
Andre Hachem: Perfect. Let me understand. When we think about the second half are you going to continue maintaining this target of BRL 1 billion or?
Lorival Luz: Yes, it is possible to do that if our leverage level allows us to do that. 
Andre Hachem: Okay. Perfect. It was so clear. Thank you.
Operator: Our next question comes from Thiago Duarte with BTG Pactual. You may proceed, sir.
Thiago Duarte: Hello. Good morning, everyone. Thank you for the opportunity to ask questions. I would like to touch upon three points. First in relation to the expense reduction for this quarter. G&A was able to absorb the gross margin. So I would like you to describe this, talk about this which was focused on sales expenses. And it's a discretionary line. I would like to understand from your side how this was different how is this going to be different along the year so that you're going to go back to the levels of last year for the next quarters. Or could we and -- they tend this to be a recurring level considering the revenues? So this is my first question. The second question is that I would like to go back to Asia topic and the question is directed to Patricio. It's not very clear to me. You suggested in your answer there are some things happening in Japan and in China. You will -- I would like to know that this accommodation of margins in Asia that we have seen since last year they were very high and they kept very high and they started dropping and they dropped even further. And you understand that this can be reverted. Or do you believe that this cost pressure is going to prevail? I need to understand how do you see the Asia-related margins for the year. And lastly in your release I had a feeling, correct me if I'm wrong please, you are much more cautious as I felt it when you talk about macroeconomics in Brazil. At least it seems to be a bit different from the discussions in terms of domestic market when you provided the results of the previous quarter. And Sidney has just mentioned that he does see no -- he sees no trade-down, he doesn't see many relevant changes and he sees that there's going to be a growth for processed food. So if you could provide some more color on this demand perception and also the macroeconomic situation as compared to last year, which was very atypical in terms of demand in comparison to this year? Thank you.
Lorival Luz: Thank you Thiago. Let me talk a little bit about the current moment. Today we need to be cautious. We need to have a very precise management of the actions of the company. You can see it's clear it's transparent that the costs have increased. And the perspectives in terms of agricultural commodities and considering the levels that they are at, and we have to consider the perspective in relation to prices, so we have to be cautious so that we can rebalance the situation in a proper manner. Another factor is that last year, we have a perspective that we would start 2021 with pandemic as thing of the past. But unfortunately this we lived the first quarter as the worst moment ever for the pandemic. It's common that -- it's expected that we should have this concern, and therefore, we are going to do the management in a sustainable and balanced way as we have done so far. But as for the long-term, it remains that is the demand will continue to grow. Population will continue to grow. And ever more all value-added products that would provide convenience to our consumers will continue to grow as well as we have seen so far and this has been mentioned by Sidney and this is something that is going to along the year. So it's very important to look at the structural situation and consider all the situation of the moment. So we are very confident on the first factors and on the future planning of our industry and of the company. But this time we have to manage very carefully very cautiously. And I'll turn the floor to Carlos so that he can talk about SG&A. So we have the management for our costs. And I think Carlos can talk about it and then I will turn the floor to Patricio, so that he can provide more details about Asia.
Carlos Alberto Bezerra de Moura: Thank you, Lorival. It's a pleasure to talk to you Thiago. This is part of the process that we have here to manage our expenses involving 18 packages. And these 18 packages have included all the areas of the company strictly aligned with the purchase areas even with all the challenges that we have been facing at the macroeconomic level. About 70% of what we have sold in this quarter is caused by economies in facilities, information technology, legal, savings. And we had an important action of provisions where we had reduced costs and also indirect people we have been optimizing our processes. And this 35% will be used according to the moment that we are facing each quarter and we are going to continue doing this, thanks to the methodology that we have adopted and we are going to continue with increasing the maturity level, and we are going to capture not only the possibilities of reducing expenses of the company. And also we are going to have ever more mature processes so as to ensure competitive advantage for our business.
Lorival Luz : Patricio?
Patrício Rohner: So Thiago, good morning. So to reinforce what I've said, I'm going to explain what I've said. I see an improvement in prices in Asia. First is related to the price, because the cost the cost would affect everyone. The demand is very high. And the third factor is that there is a balance of the inventories both of exporters and local producers, especially smaller producers as we can see in the case of Asia where they feel the -- when there is a pressure of cost and they cannot include this in prices. They face problems. And this is something that, we have been feeling in the first quarter and we have feeling filling this now. And we understand, if there is a perspective of better prices in Asia. This is a fact yes.
Thiago Duarte: Thank you. Okay. Excellent, Patricio. And if I could take advantage and ask another question. This margin in Asia, could you share with us, how China and Japan would stand in those numbers that were communicated?
Patrício Rohner: China is better than the figures and Japan lower than the figures, China to increase; and Japan in the process of recovery; and all the other countries are in the process of recovery. As I explained in the previous question, I cannot specify the margin for the second quarter, but 50% of the period has already been experienced.
Thiago Duarte: Okay. Excellent. Thank you. Patricio, Carlos and Lorival.
Patrício Rohner: Thank you.
Operator: We have come to an end with our Q&A session. Mr. Lorival, you may proceed with the final considerations.
Lorival Luz: Thank you. Thank you everyone. Unfortunately, we had some technical problems in the transmission and our broadcast. And unfortunately, some of you could not hear so clearly. So, I would like to apologize. That was not the purpose of our company, but we are going to provide this available on the website, the recording without any cut without any interruptions that you have experienced. And we would like to reinforce the company's commitment to our planning in the future. As to sustainability, ESG topics on which we have worked with balance and sustaining our margins and our growth and always working with the cash generation, so that we can sustain all the planning and the 2030 vision that we have presented. Thank you, everyone. Have a good day everyone.
Operator: The conference call of BRF is over. I would like to thank you for taking part in it and have a good day everyone.